Operator: Welcome to Carter's, Inc.'s Fourth Quarter Fiscal 2025 Earnings Conference Call. On the call are Douglas C. Palladini, Chief Executive Officer and President; Richard F. Westenberger, Chief Financial Officer and Chief Operating Officer; and Sean McHugh, Treasurer. Please note that today's call is being recorded. I will now turn the call over to Mr. McHugh.
Sean McHugh: Thank you, and good morning, everyone. We issued our fourth quarter 2025 earnings release earlier today. The release and presentation materials for today's call are available on our Investor Relations website at ir.carters.com. The statements on today's call about items such as the company's expectations and plans are forward-looking statements. For a discussion of factors that could cause actual results to vary from those contained in the forward-looking statements, please see our most recent SEC filings and the earnings release and presentation materials posted on our website. In these materials, you will also find reconciliations of various non-GAAP financial measurements referenced during this call. After today's prepared remarks, we will take questions as time allows. I will now turn the call over to Douglas C. Palladini.
Douglas C. Palladini: Good morning and thank you for joining us as we share our fourth quarter and full year 2025 results. We are also going to offer some guidance for the year ahead. While we believe the recent news regarding tariffs will be net positive for Carter's, Inc., it will take some time for the proper level of detail to fully emerge. So our comments today will exclude that potential tariff impact. As I approach one year in role in April and reflect on 2025, it is becoming clear that several of the themes I have consistently highlighted are coming to life. As Carter's, Inc. returns to growth that is long-term sustainable and profitable, we continue to experience momentum in our business, doing what is right for our brands and consumers, which is yielding improved financial outcomes. As I characterize the kind of quality growth we want at Carter's, Inc., I am specifically talking about decreasing promotional activity over time, growing our ability to price up and to sell higher priced products overall, and balancing our transactional messaging with more emotion-driven product and brand storytelling that builds consumer connectivity and loyalty. We are creating new products that are truly resonating with consumers across all five brands led by the Carter's, Inc. namesake, embodying holistic value, including style and quality, not just price. In Q4, among our DTC channels, all apparel brands and all age segments grew versus last year. Our brands are increasingly attracting new consumers, particularly among Gen Z and millennial families, with new fans leaning into our better and best product offerings, with higher price points. We are validating what we believe are the equity and pricing power of our brands. Importantly, these newly acquired consumers are demonstrating the potential for higher lifetime value, an essential building block towards sustained positive results. Productivity has also been a consistent theme. We have taken necessary and decisive actions to rationalize our store fleet, rightsize our workforce, and reduce complexity throughout the organization. As we recognize the benefits of enhanced productivity, we return to investing where we can generate the greatest returns, including in product make, which provides the design and style consumers expect and appreciate, and in demand creation to drive store and ecommerce traffic. For the first time since 2021, Carter's, Inc. grew year-over-year revenue, even excluding the 53rd week of sales. We also executed our third consecutive quarter of retail comp growth, and we did so with higher AURs and less promotion. Consumer counts also continued to grow, as we attract new Gen Z fans who are selecting from our best product assortments at higher rates than existing consumers. These are all strong signals that our actions are generating results. We will continue to build upon our top line momentum, and profitability is expected to expand commensurately as productivity initiatives and demand creation investments generate returns. In 2026 and beyond, I believe both revenue and operating income will grow. We will get into the details around these things shortly, but first, let us hear about 2025 results from Richard.
Richard F. Westenberger: Thank you, Doug. Good morning, everyone. I will cover our fourth quarter performance, and then we will share some perspective on 2026, including our outlook for the first quarter. Obviously, the developments over the last week have introduced new uncertainty regarding the topic of tariffs. There is a lot left to play out on this subject, including the potential to recover the significant additional tariffs we have already paid to date. Fourth quarter capped off a significant year at Carter's, Inc., one which included leadership transition, initiation of significant transformation and productivity initiatives, and response to the imposition of historic tariffs. As Doug said, while we have much work to do, there are many reasons to be encouraged about our path forward. Overall, we delivered good fourth quarter results. Sales, operating income, and earnings per share all exceeded our prior forecast. Industry data suggests it was a good holiday season for many companies; the consumer was clearly out shopping. We saw broad-based demand across our business in the fourth quarter, and achieved sales growth in each of our business segments. While we saw growth in sales, earnings were still down year over year, although at a lower rate than we saw through much of 2025. Improving our profitability remains one of our overriding priorities as a team. Now turning to the details of our fourth quarter and full year performance. Comments this morning will track along with the presentation materials posted to the Investor Relations portion of our website. On Pages two and three of the materials, we have included our GAAP basis P&Ls for the fourth quarter and fiscal year. On Page four, we have provided a summary of our non-GAAP adjustments for the fourth quarter and full year 2025. We had considerable non-GAAP charges last year, the most significant of which related to our operating model improvement work, organizational restructuring, leadership transition, and termination of two legacy benefit plans. In the fourth quarter, we also had charges related to our recent debt refinancing. At present, we do not expect any unusual charges in 2026. This morning, I will speak to our results on an adjusted basis, which excludes these adjustments. On Page five, we have our fourth quarter adjusted P&L. Fourth quarter was our largest quarter of the year with net sales of $925,000,000. We posted 8% growth in net sales over last year's fourth quarter. 2025's fourth quarter benefited from an additional week in the fiscal calendar, which contributed approximately $37,000,000 in net sales. On a comparable 13-week basis, which excludes the additional week, consolidated net sales for the fourth quarter increased 3% over last year. On our over $900,000,000 in net sales, gross margin was 43.2%, which was in line with our previous outlook. This represented a decrease of 460 basis points over last year's fourth quarter gross margin. As expected, our gross margin rate was pressured by tariffs, a gross impact of $40,000,000, which was roughly double the impact we experienced in the third quarter. Product costs were also higher due to investments in product make to improve the competitiveness and relevance of our product assortments. We continue to make progress on improving realized pricing, particularly in U.S. Retail and International. Fourth quarter AURs were up low single digits on a consolidated basis and up mid single digits in U.S. Retail. Fourth quarter adjusted SG&A increased 5% over last year to $315,000,000 driven by costs related to the 53rd week, as well as incremental investments in demand creation and improving consumer experiences in our stores. We also had higher costs related to inflationary pressures in wages and rent, in addition to higher provisions for performance-based compensation. As expected, growth in adjusted SG&A moderated in the fourth quarter from second and third quarters, and we achieved 90 basis points of spending leverage. Fourth quarter adjusted operating income was $89,000,000, with an adjusted operating margin of nearly 10%. Below the line, interest and other expenses were comparable to the prior year. Our effective tax rate in the fourth quarter was lower than we had forecasted at 15.4%, 340 basis points below last year. This lower year-over-year rate was broadly driven by a higher mix of our worldwide income outside the United States and, to a lesser extent, the delayed implementation of a new higher minimum tax in Hong Kong. The net of all this, on the bottom line, fourth quarter adjusted earnings per share was $1.90 compared to $2.39 last year. On Page six, we have a summary of our fourth quarter performance by business segment. As mentioned earlier, consolidated net sales increased over last year in all three of our segments. Adjusted operating income declined $26,000,000, resulting in an adjusted operating margin of 9.7% versus 13.4% last year. Our overall decline in profitability was driven by our Retail and Wholesale businesses, offset partially by lower corporate expenses and slightly higher profitability in International. In both the U.S. Retail and Wholesale segments, the lion's share of the decline in operating income was driven by the net negative impact of higher tariffs, as well as higher product costs related to investments in product make and spending deleverage. Also negatively affecting Wholesale's profitability were higher inventory provisions and a higher mix of excess inventory sales versus last year's fourth quarter. International maintained its operating margin reasonably well in the fourth quarter with higher product costs and spending deleverage that was offset by an improvement in product mix and higher pricing. Our lower corporate expenses compared to prior year were driven by lower charitable contributions and lower professional fees. Turning to some additional perspective on our business segment results beginning with U.S. Retail on Page seven. We are encouraged by the continued momentum in our business. Net sales increased 9% in the fourth quarter. Comparable sales increased 4.7%, our third consecutive quarter of comp sales gains. Comps were particularly strong in our ecommerce channel, driven in part by a double-digit increase in traffic in the quarter. We saw broad-based product strength in the quarter with sales growth across baby, toddler, and kid. All of our apparel brands also posted comp sales growth in the fourth quarter. Baby continues to be the strength in our product assortment. Q4 marked the sixth consecutive quarter of growth for Baby. As we have said, AURs improved in the mid single digits in the fourth quarter. Roughly half of this improvement was driven by reduced promotions, while the other half was driven by less clearance activity and increased penetration of the higher price portions of our product assortment. Our active consumer count continued to grow in the fourth quarter, building on the success we have had in this area earlier in 2025. Retail profitability was lower in the quarter for the reasons mentioned earlier: higher product costs reflecting incremental tariff pressure and product investments, which were partially offset by higher pricing. On Page eight, we have summarized the fourth quarter performance in our U.S. Wholesale and International businesses. In U.S. Wholesale, net sales increased 3% over last year. Wholesale benefited from the additional week in the calendar, which contributed $12,000,000 in net sales. Exclusive brand sales increased year over year based on continued strength of Child of Mine and Just One You. Sales of Simple Joys were down year over year in the fourth quarter, continuing the trend we have spoken of on previous calls. As I mentioned previously, profitability in the Wholesale segment was impacted by higher product costs, reflecting incremental tariff pressure and product investments, partially offset by higher pricing. We expect these pressures on Wholesale profitability will continue through 2026, especially the impact of incremental tariffs, which became effective around midyear in 2025. Operating margins are projected to be more comparable in Wholesale year over year in 2026. In International, reported net sales increased 10% over last year and by 8% on a constant currency basis. Our growth outside the United States was driven by our businesses in Canada and Mexico. Comps in Canada were roughly even. Last year's fourth quarter benefited from a government tax holiday, which did not repeat this year. Our team in Mexico continues to drive strong performance with net sales growth of nearly 30% driven by contributions from new stores, as well as another quarter of double-digit comp sales growth. As noted earlier, International operating profit increased slightly over the prior year. On Page nine, we have provided some balance sheet and cash flow highlights. Our year-end balance sheet was very strong. We ended the year with continued strong liquidity of more than $1,000,000,000, consisting of just under $500,000,000 of cash on hand, as well as the significant borrowing capacity available to us under our credit facility. In the fourth quarter, we extended the maturity of our debt through the issuance of $575,000,000 of new five-year senior notes with a 7.375% coupon. This new debt replaced our previously outstanding senior notes. We also replaced our previous cash flow revolving credit facility with a new $750,000,000 asset-based revolving credit facility, which also has a five-year tenor. Net inventories at year end were $545,000,000, up 8% over last year. Year-end inventory units were 4% lower than a year ago. Incremental tariffs continued to have a meaningful impact on inventory value, increasing year-end inventory by $50,000,000. Excluding the impact of higher tariffs, inventory dollars decreased 2% compared to last year. Exiting the year, our inventory quality was high with an improved seasonal mix compared to last year and lower overall excess inventory levels. We generated positive operating cash flow in the quarter and for the full year. Operating cash flow for 2025 was $122,000,000. The year-over-year decline in operating cash flow was due to lower earnings and higher inventories in part due to the impact of the higher incremental tariffs. We continued to distribute capital to our shareholders in 2025, paying $56,000,000 in dividends. On Pages ten and eleven, we have our full year 2025 adjusted P&L and business segment summary. This information is included for your reference. Now I will turn it back to Douglas C. Palladini for some thoughts on our business drivers for 2026.
Douglas C. Palladini: I will spend a few minutes highlighting the direct actions we are taking to return Carter's, Inc. to growth in both sales and operating income in 2026, then hand the call back to Richard to wrap up our prepared remarks with guidance for Q1 and the fiscal year. Our primary goal in 2025 was returning to top line growth, which we accomplished, and this is growth we intend to sustain as we progress. In 2026, our objective is to grow both sales and operating income as we build on top line momentum from last year and realize the benefits of productivity and cost savings initiatives. I believe Carter's, Inc. possesses all the necessary building blocks to inspire consumers and reward shareholders. These elements include leading awareness and market share in children's apparel, iconic brands that are deeply trusted by families raising young children, a unique multichannel market model with best-in-class availability, and a talented and experienced team. We are organizing our efforts around three strategic pillars: consumer-led, brand-focused, and DTC-first. We believe renewed consumer connectivity, brand revitalization, and emphasis on a strengthened direct-to-consumer model will enable us to achieve our growth objectives in 2026 and beyond. We will continue to be focused on two key areas to drive our performance in 2026: demand creation and productivity. As it relates to delivering top line growth, we plan to continue to invest in demand creation. These investments are driving traffic to our stores and digital platforms, and we believe they are also helping us move the consumer past price-only messaging through product and brand engagement. Results continue to show this is a high-ROI investment. Our share of voice is expanding, and we are experiencing measurable demand and retention gains. We also saw evidence of demand creation impact in Q4 as traffic to our U.S. stores and websites grew year over year with both channels delivering notable improvements in the second half relative to the first. Traffic is a vital metric for us from a sales perspective and is also an important factor in improving productivity and margin in our direct-to-consumer business. Our demand creation efforts alongside product newness that is truly connecting with both new and existing consumers enabled us to grow our active consumer file in the U.S. in 2025, our first year of growth since 2021. Regarding productivity, we are addressing our cost structure across several fronts. On our last earnings call, we announced a portfolio optimization strategy to improve fleet productivity, including plans to close approximately 150 lower margin stores in North America through 2028. Last year, we closed approximately 35 stores, and in 2026, we intend to close roughly 60 stores. We believe these closings will reduce our fixed structure costs with the benefit of sales to other stores and our websites and be accretive to our profitability. In Q3 of last year, we took action to rightsize our office-based workforce, which we believe will yield approximately $35,000,000 in cost savings this year. Along with additional savings from discretionary spending reductions for 2026, we intend to maintain a disciplined focus on further cost containment, which frees up additional investment capacity. We are leveraging improvements to our operating model to drive productivity, including a three-month faster development cycle and a 20% to 30% reduction in product choices largely within Carter's, Inc. and OshKosh as we align to more global consistent brand lines. We are already seeing results with greater adoption of mainline product and reduced reliance on wholesale exclusives. We believe these actions will improve speed to market and assortment productivity, supporting both sales and margin. Our wholesale channel is expected to return to growth in 2026. Current sell-through rates across key accounts, as well as sell-in demand signals for future seasons, are strong. We plan to remain highly disciplined on capital investment spending overall, focus on what we have the most control over, discretionary spending, and hiring. We have largely halted deploying capital to adding new stores on our current format, but we are continuing to test new store concepts and experiences with the goal of attracting new consumer segments and driving loyalty. In that context, we are incredibly proud of the efforts demonstrated by our store associates as they continue to deliver engaging experiences and expertise that increase consumer satisfaction and differentiate Carter's, Inc. stores as true destinations. This is just one example of myriad initiatives that will further improve store-based productivity. We are also leveraging technology to drive the next phase of productivity and efficiency gains, including leveraging AI to pilot and test new consumer and product insight tools, and bringing a proprietary real estate market planning platform online this year to better guide fleet optimization. We are still very much in the middle of Carter's, Inc.'s transformation, and meaningful work remains. I remain confident that our talented and dedicated teams are focused on and aligned with the right things for Carter's, Inc. to generate durable growth and lasting success. Richard will now walk you through the details of our outlook for the first quarter and full year 2026.
Richard F. Westenberger: Thanks, Doug. Turning now to our outlook for 2026 on Page 13 of our presentation materials. As Doug said, we intend to build on the progress we achieved in 2025. It continues to be a challenging time to forecast the business. Consumer spending appears to have held up well while other macro indicators such as consumer confidence and overall inflation are less positive. Tariffs continue to dominate the headlines. Our teams did a very good job in 2025 responding to and largely mitigating the new tariffs which were implemented. As we are still digesting the significant tariff news from last week, there continues to be a great deal of uncertainty about where all this will settle. In our outlook commentary today, we have not incorporated any developments related to last week's Supreme Court decision and subsequent action by the administration. In other words, our forecasts reflect the projected full-year impact of the significant additional tariff implemented last year. It is also worth noting that tariffs become part of inventory cost when inventory is added to our balance sheet. The inventory we are selling now reflects the higher tariffs we have paid on these products. So it will be some time before lower tariffs on new inventory receipts become a benefit to our P&L. Recall that the gross impact of higher tariffs on our P&L in 2025 was approximately $60,000,000. In our 2026 assumptions, this gross impact grows to over $200,000,000. We are assuming significant offsets to this increase in product costs from higher pricing, particularly in our U.S. Retail business, and the benefits of other supply chain mitigation actions and our productivity initiatives. Overall, we are planning good growth in the top line and in adjusted operating income in 2026. We are expecting net sales growth in the low to mid single digits over 2025. This growth reflects anniversarying the extra week in 2025. We are expecting growth in each of our business segments. In our U.S. Retail business, we are planning low single-digit sales growth with comp sales up in the mid single digits. In U.S. Wholesale, we are planning net sales up in the mid single digits driven by growth across most of our customer segments. Sales in our International segment are planned up in mid single digits, reflecting growth in each of the three principal components in our International business: Canada, Mexico, and international partners. On profitability, we are expecting adjusted operating income will also grow in the low to mid single digits over 2025. A few comments on our outlook for operating income in 2026. First, our plan is back-half weighted, with first-half profitability planned down and adjusted operating income and adjusted EPS planned to grow in the second half of the year. This planned pacing reflects, in part, the negative impacts of tariffs in the first half of the year. Tariffs overall are not comparable in the first half as the higher incremental tariffs were implemented midyear in 2025. Additionally, pricing is planned to be less of an offset in the first half, particularly in U.S. Wholesale, in part due to the timing of sell-in of first-half commitments in our Wholesale business. First-half profitability will also be weighed down by the timing of investment spending and higher interest costs due to our debt refinancing. In the second half, we planned for far less net impact from tariffs driven by additional planned progress in pricing, and product and customer mix improvements. Spending is also planned roughly comparable in the second half versus 2025. All of this nets to our full-year assumption that gross margin rate will decline somewhat versus 2025, and full-year spending will be roughly comparable to up slightly. We are expecting that our productivity initiatives, including store closures, will contribute strongly and will largely offset our investment in demand creation, select technology investments, and other cost inflation across the business. Below operating income, we expect net interest expense of just under $40,000,000. This increase reflects the higher interest and other costs associated with our debt refinancing late last year. The impact of higher interest costs on 2026 EPS is approximately $0.30. Our effective tax rate for 2026 is planned at approximately 22% compared to 19% in 2025. This increase reflects the implementation of a new global minimum tax rate in Hong Kong and our plan to generate a greater proportion of our worldwide income in the United States. The impact of these higher interest and tax effects results in adjusted earnings per share, which are expected to be down low double digits to down mid teens over 2025's adjusted earnings per share of $3.47. We are expecting good operating cash flow in 2026 in the range of $110,000,000 to $120,000,000. We are planning for CapEx in 2026 of approximately $55,000,000, with investments in new stores in Mexico, distribution center upgrades, and technology initiatives accounting for the majority of planned spend. Our expectations for the first quarter are summarized on Page 14. First quarter net sales are expected to increase in the mid single digits compared to last year. By segment, we are expecting in U.S. Retail growth in the high single-digit range with comparable sales planned up in the mid single digits. Easter falls earlier this year compared to 2025, which we expect will benefit the first quarter. First quarter-to-date sales in Retail have been strong, up in the mid single digits. The outcome of the quarter will be heavily influenced by business in March, which is historically one of the largest volume periods of the year, and represents about 50% of planned first-quarter U.S. Retail sales overall. In U.S. Wholesale, we are planning net sales down in the low single digits. We are expecting good growth with the exclusive brands offset by continued pressure in the Carter's, Inc. brand with department store customers. In International, we are planning double-digit net sales growth driven by growth in Mexico and Canada. We are planning first quarter gross margin will be down approximately 400 basis points over last year, principally due to the net unfavorable impact of tariffs, offset somewhat by a higher mix of U.S. Retail sales and lower sales of excess inventory than a year ago. Spending is planned up about 3% due to investments in demand creation, technology initiatives, and higher wage and rent costs. We are planning first quarter adjusted operating income in the range of $12,000,000 to $15,000,000. Below the line, we are expecting net interest expense of approximately $9,000,000 and an effective tax rate of approximately 37%. This effective tax rate is much higher than typical, driven by some negative tax effects related to stock-based compensation in the first quarter. As mentioned, we are planning a full-year effective tax rate of approximately 22%. First quarter EPS is projected in the range of $0.02 to $0.08. While we are projecting lower profitability in the first quarter, we are planning growth in adjusted operating income in each of the subsequent quarters of the year. Risks that we are tracking include overall macroeconomic conditions, as employment and consumer confidence metrics signal caution. And of course, there remains the potential for continued changes in tariff policies, which may significantly affect our business. That wraps up our prepared remarks. Before we open it up for questions, I want to take a moment and acknowledge Sean McHugh. Sean is retiring today after 15 years as our Treasurer and Head of Investor Relations. Sean has been a terrific leader here at Carter's, Inc. and a strong colleague to quite a number of you on the street. Sean, thank you for everything. We wish you and your family all the best in your retirement. And I would like to also welcome T.C. Robillard, who is joining us on the call today as our new Vice President of Investor Relations. T.C., welcome to Carter's, Inc. Glad to have you with us. And with all that said, we are ready to take your questions.
Operator: Thank you, ladies and gentlemen. If you have a question or a comment at this time, please press. Our first question comes from Paul Lejuez with Citi. Your line is open.
Paul Lejuez: Hey, thanks, guys. Can you talk more about your full price realization? If there is any color you can give around that within the retail business? And maybe could you quantify the drag from tariffs specifically that you build into gross margin assumptions? It would be really helpful if we could get a sense of that by quarter, even beyond Q1. And maybe just along those lines, any other big moving pieces within the gross margin line and how that might look different in the first half or second half? Thanks.
Douglas C. Palladini: I will start, and then Richard can jump in. Thanks, Paul. I would say, first and foremost, on full price realization, we are selling more clean-ticket product than we have and have less product on promotion than we have traditionally. If you look at an emerging brand like Little Planet, if you look at our best-in-class sleepwear, which we call Purely Soft as part of the Carter's, Inc. line, those are great examples of where we are pricing up in AURs, and more of that is selling out on less of a promotional cadence. Also, as you look at our AUR increase in DTC, to more let the quality, the style, and the total value of the product speak for itself, and we are seeing that. We are also seeing that especially with attraction of new consumers. So as we bring new consumers into the fold, they are mixing into these better and best buckets at a higher rate and accepting the higher AURs, and I will turn it over to Richard for further quantification.
Richard F. Westenberger: Yeah, Paul, a lot in your question as it relates to the impact of tariffs. And so just a few thoughts on that. Recall, and on our last call, we referenced that we thought the potential of the higher tariffs would put us in a range of a gross effect of $200,000,000 to $250,000,000. We are at the lower end of that range. So for the full year, we are expecting the gross impact to be somewhat over $200,000,000. Now, that compares to the $60,000,000 that we incurred on a gross basis before pricing benefit in 2025. So that is about $150,000,000 of an increase that will hit gross margin across the year. I do not know if I will go by quarter by quarter, but by half. It is reasonably comparable. The gross effect is a bit more weighted to second half, but they are more even than not. And then offsetting that are significant assumed pricing increases across the business, across all of our channels, as well as other supply chain mitigation actions. Our supply chain team has done an extraordinary job using whatever levers they have, moving production around, negotiating with our vendors. Pricing is the most significant offset to the planned tariffs. So I think from a full-year gross margin point of view, the overall gross margin is planned to be more comparable in the second half, as I mentioned, down in the first quarter, down to a lesser extent in second quarter, but we are showing more stability in the second half of the year. As I think about the full year, because of the presumed successful pricing and the proof points that we have had in recent quarters have given us some confidence, to Doug's points around our brands are worth more, the consumer is recognizing the value, and so far, we have not seen resistance to the price increases that we have advanced. On a full-year basis, we more or less offset the impact of tariffs, and what flows through are some other things such as the investment in product make, which we think is going to be important to continue to improve the competitiveness of our assortments, particularly in the Wholesale channel. And we have got some other benefits as well from our productivity initiatives; those cost centers are planned in gross margin. So we would have had to price up even more to hold the rate, but there is substantial pricing that is reflected in this plan. So hopefully those comments are helpful.
Paul Lejuez: They are. And then just to follow up on the Little Planet and Purely Soft, what is the percent of sales that those represent right now? And how much of a driver is that, and how much do you bake into the fiscal 2026 growth rate?
Richard F. Westenberger: Little Planet just had an important milestone across $100,000,000 in sales. So it is still relatively small, but it is growing off a small base rather rapidly. So we do have good growth plans. I do not know that I have that stat right in front of me, but we do have growth planned in Wholesale and in our Retail channel for Little Planet for the coming year.
Paul Lejuez: Thanks a lot.
Operator: Thank you, Paul. One moment for our next question. Next question comes from Jay Daniel Sole with UBS. Your line is open.
Jay Daniel Sole: Great. Thank you so much. Richard, I have two questions for you. One is can you give us a little bit more detail on the U.S. Wholesale margins in Q4? Maybe talk about the inventory provisions and what component of that was the 810 basis point change in the operating margin? And then just the guidance for SG&A for fiscal 2026, can you give us a little bit of a bridge, like how much of a benefit is the store closures in addition to the $45,000,000 cost saving program you all announced last quarter versus maybe other things that you are investing in to get to what it looks like flat SG&A dollar growth for the year? Thank you.
Richard F. Westenberger: Right. So Jay, on Wholesale margins, the most dramatic driver and most significant driver was the net impact of tariffs. So that was, on a gross basis, probably $20,000,000 of the $40,000,000 that I referenced. There was less of a pricing offset there. So in terms of just basis point decline, that was the majority of it. We did have an opportunity just opportunistically to move some excess inventory coming out of the mass channel. That was 40 or 50 basis points of the rate deterioration in Wholesale. So it was not the most significant, but it was above what we had initially thought we would do for excess inventory, but it was good to move that inventory. So I would say the headline really on Wholesale profitability is just the net impact of the tariffs. Recall that when the tariffs were implemented, we had already sold in fall, the goods had been ticketed. We certainly had good partnership on the part of our Wholesale customers, but it was not our intention to be able to cover all of that. So that price coverage of tariffs in the Wholesale channel improves over time. As I said, once we get past the first half, there is more significant benefit from pricing in the Wholesale channel, but it will weigh us down. It weighed us down in the fourth quarter. It will weigh us down in the first half as well. On your question on SG&A, we have planned SG&A more or less flat for the year, perhaps up slightly. There is a significant benefit from productivity that is coming through the P&L, about $40,000,000, I would say, on the SG&A line. There is some portion of our productivity initiatives, the $35,000,000 that Doug referenced from organizational savings. A portion of that comes through SG&A and a portion comes through gross margin. We have some cost centers that are reported as part of gross margin. But about $40,000,000 in total of productivity benefit coming through, an element of that is the SG&A savings from closing stores. So if I had to parse it out from memory, it would be about $25,000,000 of the organizational savings in SG&A and about another $13,000,000 to $14,000,000 from the store closures. We are using those strong benefits from productivity to offset the investment spending that is in the plan. So the items that we have talked about, marketing is a big headline. We felt like we have under-indexed in the investment in marketing relative to other good brands. So we have made a conscious decision to ramp that up. We do have some select technology investments. I think we have done a good job focusing the investment on the areas that we think are going to be the highest impact and help us drive the business. And then you have some other costs coming back into the business just with growth plans, so variable expenses are up, merit and wage costs are up. So those are kind of the puts and takes. Good benefit from productivity, but a good amount being invested back to drive the business for the long term.
Jay Daniel Sole: Got it. Okay. Thank you so much.
Operator: One moment for our next question. Our next question comes from James Andrew Chartier with Monness, Crespi, Hardt. Your line is open.
James Andrew Chartier: Hi. Thanks for taking my question. Can you talk about when the pricing at Wholesale takes effect? Are you going to see the full benefit of price increase at Wholesale in first quarter? Or does that come later in the quarter? And then at Retail, how does the 53rd week last year impact kind of sales by quarter? It looks like it is a benefit to the first quarter.
Richard F. Westenberger: Well, pricing is planned up, I would say, across the year in each of our segments. It is planned up in Wholesale, including in the first quarter. We just have much more of a benefit offsetting the tariffs in the second half of the year versus the first half. So again, our spring sell-ins took place at a time where we just did not cover as much of the pricing as might have been desired, but that is kind of where we are, and it improves over time. The 53rd week is only a benefit and really a comparison issue in the fourth quarter. It was about $8,000,000 of sales from memory. And to be clear, the new Wholesale pricing is in effect.
James Andrew Chartier: Okay. Alright. It looks like you are guiding for Retail sales low single digits for the year despite a mid single-digit comp. But I think for first quarter, you said high single-digit Retail sales growth on a mid single-digit comp. So what is the delta there then if it is not the shift of the weeks in the quarter due to the calendar, maybe the extra week in fourth quarter?
Richard F. Westenberger: We have a benefit from pricing coming through, and we have the store closures, which is driving a delta as well, Jim.
James Andrew Chartier: So those just come later in the year. It is more impactful later in the year, the store closings?
Richard F. Westenberger: Well, and we also have good ecommerce growth that is planned as well. That may be part of the difference. And just to correct my comment on the 53rd week, it was worth about $12,000,000 at Retail, Jim.
James Andrew Chartier: Okay. And then just in the fourth quarter, Wholesale pricing was down low single digits despite higher realized pricing. Other than the excess sales, any other drivers that impacted the pricing at Wholesale in fourth quarter?
Richard F. Westenberger: Yeah. It was down low single digits in the fourth quarter, Jim. I think that clearance activity did have some impact on the realized pricing in that segment. And also, while we had raised some prices in the fourth quarter in Wholesale, it just was not enough to cover the tariff impact. So the clearance activity definitely had an impact on driving the AUR down a bit.
James Andrew Chartier: Great. Thank you.
Operator: Sure. One moment for our next question. Our next question comes from Ken with Bank of America. Your line is open.
Ken: Hi, good morning. Thanks for taking my question. Curious, so while guidance today obviously does not assume any tariff benefits, curious if the new 15% universal rate were to hold, how should we think about the benefit to your business compared to the rates you are seeing today? And also, what would you expect from the broader marketplace and your ability to take price?
Douglas C. Palladini: Yeah. So we are not going to offer much conjecture on what could happen. We are going to wait and see, get the details, and then talk about them once we have the facts in front of us. Beyond what we have already said about, we believe the total impact could be positive based on what we know today. I think that is work to come. So please be patient while we sort through and get the details of what we need.
Ken: Okay. That is fair. Question was just on sales. Curious, on the guidance for full year up low to mid single digits. What is the assumption on AUR growth as you lap pricing from the prior year? And especially against the extra week last year and planned reductions in the store footprint, what are kind of the key drivers underpinning your confidence in the guide?
Richard F. Westenberger: Yeah. The assumption is for a mid single-digit increase in full-year pricing. So we started raising prices more meaningfully in the second half of 2025. So we have to comp up against that. But for the entire year on a consolidated basis, it is up mid single digits. Some puts and takes by business, but that is what it is overall.
Ken: It is okay. Thanks.
Operator: Welcome. One moment for our next question. Our next question comes from Mike Bertrand with Wells Fargo. Your line is open.
Mike Bertrand: Hey, good morning, everyone. And Sean, it has been a pleasure working with you. Best of luck. Welcome, T.C. Two from me. I was going to start with Retail. Maybe, Doug, is there any chance you could give us, or Richard, some kind of read on just your comps have obviously been getting better for the last couple of quarters. Any commentary quarter to date? Curious how weather and storms have impacted you. And then along with that, could you quantify the benefit that the early Easter is going to give you and conversely how that should hurt you in the second quarter?
Douglas C. Palladini: Yeah. I will take the first part, and Richard can take the second part. I would start by saying that we are not going to worry about the weather. You know, it affects everybody exactly the same. It is winter. There are going to be storms. Some days are better than others. So we are just in line with the rest of the retail community when it comes to our stores and the weather. But what I would say is that, look, we are seeing the impact of better product, focus on newness, on style, reinforcing the quality of what we make. We are seeing the benefit of demand creation driving traffic and really bringing new consumers to the table. So more people coming in the stores, a better in-store experience, more product that is resonating with consumers, and that is elevating our ability to get price, to discount less, and to get more repeat traffic, I would say, as well as very important. The one thing that we are seeing is that we are ratcheting up our ability both in demand and retention as we develop the equity for these brands. So that, I think, is what is most important to reflect in those Retail results.
Richard F. Westenberger: And, like, quarter to date, we are running positive mid single-digit comp in U.S. Retail. I would say sometimes it is hard to draw a lot of conclusions on business in January and February; it tends to be a clearance period. As we said in our remarks, it is all going to be about March. March is a kahuna month, and that is where half the volume will be for the quarter. I think the earlier Easter historically has been worth a point or two of comp when it has come earlier. So that would be kind of my best guess on that. Do not want to minimize just the strength of our ecommerce at the moment as well. That was a real driver in the fourth quarter. I think some of the investments we have made in demand creation have kind of naturally driven traffic to the ecommerce business, which has continued to be strong. We have good positive comps planned for second quarter. An element of that would be the pricing. So that might affect perhaps some of that early April business, but we have good growth planned in second quarter comps in the U.S.
Mike Bertrand: Got it. Super helpful. And then just a follow-up on Wholesale. So first quarter down low single, full year up mid. Is there something, is there a timing or some issue in the first quarter to call out? Also, can you quantify the Simple Joys headwind and how that should play out? And I guess my main question with all that is, why the channel's growth rate is planned to improve so much out of Q1, especially with the Amazon changes kind of taking place? Thanks.
Richard F. Westenberger: Yeah. I would say there are multiple things at play here. There certainly was some timing. We did have some earlier demand for spring product that benefited fourth quarter that is pressuring a bit of the growth rate on first-quarter Wholesale volume. I think also, we have been conscious in our comments to talk about the investments in product make. We think that there has been room to improve the assortment, the appeal. We plan that business collaboratively with our Wholesale customers. They provide very good input. To Doug's point, the reception to what we have been showing them for fall already has been tremendous. And so we have got more growth planned, more volume planned in the second half. That helps kind of the Wholesale sales and profitability equation as we get into the second half as well. So I think multiple things at work there. Spring bookings were not as strong as we might have hoped. I think a number of our customers are understandably being cautious in this tariff environment when they are facing price increases as well across probably everything in their assortment. We saw those commitments come in a little lower than we had anticipated. The bookings profile and demand profile improves as you get later in the year.
Douglas C. Palladini: And I will talk about Amazon for a minute and give everybody an update. You recall on the last call, we talked about moving out of Simple Joys over time as the business model there has shifted, and moving into featuring our own brands, led by Carter's, Inc., on the Amazon platform. That is happening already, and you are seeing the shift is underway. You will see Simple Joys as a percentage of our total sales there come down over time, not disappear, but come down. You would see, and you will see, sales of our existing brands come up. That will be reflected over time in growth in both revenue and profitability on that platform.
Mike Bertrand: Got it. Thanks so much, guys.
Operator: One moment for our next question. Our next question comes from Jai Ki with Goldman Sachs. Your line is open.
Jai Ki: Hi, guys. Thanks for the question. I was just wondering if you could fill us in on the cadence of marketing and demand build investments. How is that being spent specifically, and where you might be seeing early green shoots in the returns? And then also, in terms of the new customers you are acquiring, I guess from maybe a demographic or an income cohort perspective, you could help kind of fill in the gaps about where that is—like, because you guys mentioned pre-ICR that that was coming from a higher income cohort. I am just wondering how much that has continued or accelerated since the last comments. Thanks.
Douglas C. Palladini: Yeah. Thank you, John. Yeah. The first part on marketing cadence, I would say that as our renewed investments have kicked in, we have seen our ROI increase. And, again, as I mentioned, that is happening both in terms of demand and retention. Specifically, the outsized impact is coming from places like paid social, and you are seeing those gains in share of voice and our equity rising. We do, as you know, have a pretty significant incremental investment planned in 2026. Still, we are still fairly—vis-à-vis our competitors—humble at marketing as a percentage of total spend. So there is a lot of upside for us as we move forward in how much we invest. That said, we are going to measure along the way. So we are, as long as we are continuing to see the kind of ROI that we are seeing today, we will keep leaning in and investing. But we are going to be careful and make sure that we measure the results every step of the way. On new consumers, yeah, we are seeing—continue to see—acceleration in acquisition of new consumers. And what we know is that they tend to come from higher income than our existing consumer base. Okay? So they are above the—if you just look at U.S. household median income—they are above that median, which is interesting and new for Carter's, Inc. And also, I think, speaks to when you see the AUR increases, when you see better selling in our better and best buckets of product, you are seeing that relative spending power come into the brand. I also would just want to make it clear that our intention is not to replace our existing consumer. We want to serve all of our consumers. And if you come in the door of a Carter's, Inc. store and immediately ask where the clearance rack is, we are going to take great care of you. And so if you are a more price-sensitive consumer, we have great value for you. We have great style, quality, and at a great price. So we are going to take care of those people as well. But as we bring new consumers in, we know that they are coming from higher income brackets, and they also potentially show higher lifetime value as a result. Hope that helps, John.
Jai Ki: Yeah. Absolutely. Thank you.
Operator: One moment for our next question. Our next question comes from William Reuter with Bank of America. Your line is open.
William Reuter: Good morning. On your price increases at Wholesale, has this resulted in any changes to your shelf space? And are your Wholesale customers asking for you to demonstrate how the product may be improved or offering greater value versus previous offerings?
Douglas C. Palladini: So the answer to the first part is no. The answer to the second part is that there are no surprises there because we work very closely with them to deliver exactly what they expect from us. So we come in with a clear point of view about what we think is working for our brands, and we work very collaboratively with our Wholesale partners to ensure that we are delivering exactly what they expect. Now, we are in a very fortunate position that we are the number one national brand in most, if not all, of our key Wholesale accounts. And so they are reliant on our continued improvements in what we make, and we are leaning in there to make sure that we continue to show up as the primary brand on their floors.
William Reuter: Got it. And then just as one follow-up, I know that a handful of years ago, you booked some price increases. You then were kind of forced to push down prices a little bit subsequently because the feedback was not great. What are you seeing in terms of private label competition? What is the spread in your current pricing versus where the private label options are?
Richard F. Westenberger: I would say we are seeing prices go up in the marketplace. Historically, Bill, we have been kind of in that 15% to 20% range. That is kind of a good sweet spot for us to sit next to private label. I think the wild card is just sort of the state of the economy, and if things are a little shaky, does the consumer have more propensity to trade down to private label? Today, we have not seen it. Private label has picked up some share broadly in the market, I would say, over the last year. But we think prices are going up kind of across the marketplace. And a lot of the private label brands that you see in the market were in the same factory. So I do not think we are disadvantaged from a cost structure or a sourcing point of view.
Douglas C. Palladini: Yeah. I think we are very comfortable being the premium national brand in our key accounts, but we do want our pricing to remain competitive. So when we talk about being competitive, we are talking about it remaining relative. So, yes, we can price up. We can come across as the leading national brand, but it still has to be in the context of what we are selling by product category, and we take that very seriously, and we try to make sure that we are competitive everywhere we are on sale.
William Reuter: Got it. So I guess, Richard, it sounds like the pricing gap with your products and private label, they are pretty similar to what they have always been on a percentage basis. Is that fair?
Richard F. Westenberger: Yeah. I think so, Bill.
William Reuter: Cool. Alright. That is all for me. Thank you.
Richard F. Westenberger: Thanks very much.
Operator: I am not showing any further questions at this time. I will turn the call over to Mr. Palladini for any further remarks.
Richard F. Westenberger: Thank you, everyone, for joining us this morning.
Douglas C. Palladini: As we said earlier, we are pleased with the progress we are making against our core initiatives, but also recognize that there is much work to do to achieve our goal of sustainable and profitable growth over time. We look forward to updating you on our progress on Carter's, Inc.'s next quarterly call. Thank you, and goodbye.
Operator: Thank you, ladies and gentlemen. This does conclude today's presentation. We thank you for your participation. You may now disconnect, and have a wonderful day.